Alex Pierre Bolis - Telecom Italia SpA: Good morning to, everyone. Here's Alex Bolis speaking, Head of TI Investor Relations. I welcome you to Telecom Italia's Third Quarter 2016 Results Call. The call will be led by our Group CEO, Flavio Cattaneo, who will summarize the positive last quarter performance, and will then give us a guidance update. Our CFO, Piergiorgio Peluso, will brief us as usual on the main operational and financial trends. At the end of the presentation, we'll be taking questions. I wish to remind you of our Safe Harbor disclaimer contained at the beginning of our presentation, and I now hand it over to Flavio.
Flavio Cattaneo - Telecom Italia SpA: Thank you, and good morning to all of you. (00:54) turnaround is proceeding quickly, and the fruits (00:57) of the work started in April are beginning to show every quarter more. Indeed, this quarter gained momentum and we have achieved excellent results across all lines, and ahead of the expectations. So let's start from our Domestic operation on slide 4. Our Domestic Business Unit recorded its best quarterly performance since 2007. Top line grew 1% year-on-year supported by our new convergence market strategy, aimed and assuring (01:33) a distinctive and leading position on all market segment. Domestic EBITDA was up plus 7.8% year-on-year confirming the (01:52) started in the second quarter. EBITDA margin grew quarter-on-quarter by 2.3 percentage points to 49.3% underpinning the quality of our revenue performance. EBITDA year-to-date was up 3.3%, already in the positive low-single-digit area, well in compliance with our full-year target and led to grow (02:20) for the first time since 2003. We are investing in Italy like no one else. We spent €2.4 billion since January, and mostly to develop new ultrabroadband technologies. Besides that, EBITDA less CapEx performance standout at 10.9%, that's fully compliant with a growing cash flow generation. Let's now move to group highlights on slide 5. The deep transformation our group is going through aims at delivering superior communication services. We are turning into a fast and a giant organization with a leading cost base. On the back this, total consolidated revenues moved sharply upwards in just two quarter (03:05). The organic performance went from minus 5.6% at Q1 to minus 1.2% Q3. In Brazil, improving service revenues and efficiency allow a back to positive EBITDA performance after six full quarters. A 0.5-plus percent EBITDA growth in Q3 compares with minus 15% in Q1 and minus 6.7% in Q2. As you can see our subsidiaries are being re-launched rather than sold. Group EBITDA is growing for the second consecutive quarter plus 6.6 year-on-year, up by 2.6 percentage points versus the last quarter. Back to Domestic now, on Mobile, service revenue were up 1.1% year-on-year overcoming on a quarter-on-quarter basis. That's tough comparison with 3Q 2015 when 28-day billing or monthly bundles was introduced. ARPU was up 2.4% year-on-year to €12.8. Net NP (04:25) was down to minus 44,000 in the quarter from minus 70,000 of the previous one. Churn at 23.5% remain by far best-in-class. This is clearly being a quarter of customer-based management (04:51) has to be carried out with special care. Indeed, we introduced (04:56) and promotion throughout our Summer Campaign, which has been a success, and will continue to support Mobile performance also for the next quarters. The last quarter started with new innovative offers. In early October, our new Turbo Giga offer took up providing extra (05:18) when our network is free. It is selling at a speed of about 2,500 clients per day. More innovative ARPU-accretive offers are in the pipeline, and will be launched during the next quarter – this quarter. Moving to Fixed, this has been a quarter of attack. During July and August, we worked on our system and processes in order to support a very strong September campaign. Growth in broadband and ultrabroadband customers continue; thanks to coverage acceleration and improved delivery processes. We are at an FTTC coverage speed of 80,000 new homes per week. And FTTH rollout speed of up to 20,000 new household per week. As a result, quarterly Fixed line losses scored (06:20) a new record low after reducing at a steady rate throughout the year, in Q3, we lost only 100,000 lines. Year-on-year, that's been the same period of last year (06:34), the line losses were (06:36). This reduction happened in both on the consumer and the business front that scored in the best quarterly line performance ever. We expect further improvement in the next quarter. Convergence, supported by the September campaign is moving ahead and it's creating new momentum to line acquisitions. In September, upselling to fiber contributed to a double-digit year-on-year growth on fixed broadband gross adds. Our TIM Smart offer backed by its new four-play (07:14) addition has totaled 100,000 gross addition. Progression beyond (07:20) the quarter is strong. In October, we launched the Smart TV offer for our broadband customers that allowed them to have a new HD Samsung flat screen for only €9.90 per month. Our sales have built up to 1,000 TVs per day, locking and supporting fiber upgrades. At the end of September, our Pay TV division (07:49) customers stood at 783,000 well-above twice the number that has one year ago. And they are growing further, you see. Let's move to slide 7 now. Domestic investment have been more important. They are key to deliver premium quality and content to our customers. On Domestic, as you know, we are committed to deploy more than €4.5 billion overtime (08:23) CapEx in NGN and LTE in 2015-2018. We are expanding better and getting more innovation and cutting on non-core expenditures, such as on real estate. TIM is utilizing its size and expanding capacity to get always better prices, quality and condition from its suppliers. All this is driving a material acceleration in deploying (08:55) within our CapEx targets. We have reached our 56% FTTC coverage target for the year already in October. The LTE one-off (09:07) of 95% was already met in August. So we are upgrading both year-end coverage targets, FTTC to about 60% and LTE to above 96%. Also, FTTH rollout has been significantly speeding up. And we are moving rapidly to 1 million premises reached by fiber. On FTTH side, I can anticipate that, we'll be expanding beyond the current city. As you know, we also have plans for Milan. Slide 7 also remind you that our FTTC connection supported by EVDSL technology can reach 200 megabits per second. So this is a first quality choice, more than in line with the new European guidelines. We strongly believe in a multi-technology, ultrabroadband approach including complementary coverage via fixed wireless access and satellite (10:20) and to cover all of Italy as soon as possible. So our game is to get way ahead than the rest of the players, as we are already today. (10:34-10:39) can be a further opportunity. Regarding Brazil, also there we have been showing a fast recovery this quarter. The operational improvement in cost efficiency we introduced are moving ahead within a better economic environment. Mobile Service revenue stood at minus 3.1% year-on-year, up 3.60% from the last quarter. Net of the MTR impact, they are positive year-on-year by 0.4%. The ARPU this quarter was R$18.4, showing a sound growth of 12% year-on-year. After better adapting our pricing to the needs of prepaid, control and postpaid segment, our Brazilian clients spend more in data (11:30) and Innovative Services confirming the positive impact of the new portfolio. As we have already seen, better revenues and cost efficiencies supported (11:42) of the organic EBITDA trend now at plus 0.5% year-on-year. After six months of our work, we are now positive in this key metric on both of our countries. I leave the floor to, Piergiorgio for more details on result and financial performance. After that, in consideration of our latest result, I will give you a guidance update, while we are adjusting our new strategic plan. Please, Piergiorgio?
Piergiorgio Peluso - Telecom Italia SpA: Thank you very much, Flavio, and good morning to everybody. Let me start by giving you some positive insight in Domestic performance that has posted solid results. Three quarter 2016 (12:30) total Domestic revenues entered into positive territory, an event that Telecom Italia has not seen since many years. They stood at €3.789 billion, plus 1% year-on-year in reported terms. This is explained by both solid retail and wholesale performance. On the latter, I would like to underline that year-to-date, the negative impact on fixed services of regulated prices has been €50 million. This has been more than offset by the contribution of infrastructure capacity sales to either licensed operators that, according to accounting standards, has been booked under equipment (13:12). As these evidently do not repeat with regular pace, but as we advance in our NGN coverage, they acquired more scope in the framework of an open network. This transaction de-risk our overall fiber project and improved its return profile (13:29). Service revenues improvement occurred across all our Domestic operations. Mobile Services were up plus 1.1% year-on-year, improving versus plus 0.7% of the second quarter. The outlook is for the further improvement as favorable progression of new offers will support Q4 Mobile performance. Fixed Services improve to minus 3.6% year-on-year from last quarter's minus 4.88% (14:02). This increase was mainly driven by broadband service revenues, up 10.2% year-on-year versus plus 6.2% over Q2. And ICT Services better trend are up (14:18) plus 3% year-on-year in this quarter against plus 0.6% of the previous one. In this cluster, Cloud stood out posting a plus 14.3% in Q3 versus 1.6% in Q2. I wish to underline how the still negative performance of the combination of voice and access is a growth figure as these traditional services get more and more transferred in our growing n-Play packages, which create an increasing offset. Completing our view on Domestic Service revenues, its total performance was further supported by optimization of fiber backhauling services rendered by our Fixed division to our Mobile one, showing lower other and elimination (15:04) year-on-year. Total Mobile revenues were almost flat on the back of slower handset sales. The market has recently been in a waiting phase for introduction of new models that in turn will be supportive for the next quarter. Total Fixed revenues currently slightly better at minus 0.1% versus Q2 minus 4.1%, also supported by the infrastructure and capacity sales that we mentioned before. As Flavio has already highlighted, our reported Domestic EBITDA trend proved solid results of plus 7.9% year-on-year. Non-recurring items were in line with last year, substantially explained by further personnel-related provisioning. Thus, organic EBITDA performance was in line to reported at plus 7.8% year-on-year. Let us now give a glance at a few other main features of Domestic, Mobile and Fixed, slide number 11. Mobile Service revenues, as you can see, has been following a consistently positive trend since Q1 2015 and are now further progressing with the support of the (16:16). LTE penetration is moving ahead at full speed. As you can see, we are now at 51% penetration of our growing Mobile broadband customer base. Acceleration in coverage plans will support further uptake. On Fixed KPIs now, line losses performance has been outstanding in this quarter, and represent the key indicator for our Fixed Domestic recovery. Also here, further progression is expected as Flavio will outline in his final section. Fixed broadband performance did beat seasonality with plus 37,000 net adds against the plus 5,000 in the third quarter of 2015. September as you know with strong acceleration supportive also for the next quarter. Slide 12 gives us an update of the Domestic OpEx efficiencies, which started in Q2. Total Q3 Domestic cost performance stood at minus €98 million year-on-year. I would like to draw your attention on this important result, and remind you that in Q2, we did benefit of a positive €66 million effect from the non-payment of full-year 2015 results-related bonus. OpEx reduction moved on in a very effective way both on volumes and process driven. On market driven, I wish to point out that the year-on-year reduction of €32 million is not determined by current commercial component. In fact, sales carrying advertising are flat year-on-year. As we highlight in the lower right part of the slide, such reduction is driven instead by lower billing and bad debt cost and by the Expo sponsorship consideration, which obviously regarded only 2015. As far as advertising, we actually never had more action with GRP September (18:13) increasing to 1,000 per week against 450 per week in the same period of 2015. On the top of the slide, you can appreciate our Domestic EBITDA margin progression are with a best-in-class level of 49.3%. Slide number 13, the main takeaway of our Q3 debt evolution is contained in the upper right box of this slide. This tells you of €779 million improvement in the reported net cash flow versus the previous quarter. The year-on-year reported net cash improvement is of €591 million, deriving from the (18:56) reported cash flow generation in Q3 2016 versus Q3 2015. (19:03) year-on-year cash flow performance is evident also at a year-to-date operating level as shown in the upper left box. In the lower part of the slide, we highlight nine months 2016 net debt reduction versus year-end 2015, which stood €543 million. Focus on cash generation remains one of our highest priorities. Thank you for your attention. I now return the floor to, Flavio, for his final remarks.
Flavio Cattaneo - Telecom Italia SpA: Thank you, (19:34). The result we have commented show you that we are at the beginning new cycle for TI. So now, let me wrap up by giving you a guidance, I'd say, for the group, which we will further expand with the presentation of our new 2017/2019 plan next February. Italy, first of all, our accelerated ultrabroadband rollout will allow to meet coverage target well-ahead of the current plan. For NGAN, we are changing the target and increasing them, from 56% to around 60% for this year and from 75% to around 80% for the next one. This means that if you include the so-called white areas, we'll cover more or less, all the country in advance to 200 megabit per second or more. In addition, we are also increasing the FTTH coverage target from 30 to 50 cities; that's it for NGAN, facts and not words. For LTE, the upgrade is from 95% to more than 96% for this year and from 96% to 98% for the next one, densifying and improving coverage quality, increased nodes add more sales (21:11). All these will be delivered without increasing CapEx target. Thanks to a change in mix and a lower total cost of ownership. TI invest only in the core. This is the message. We also upgrade our target number of NGN customers at the year-end 2018 by 10% from 5 million to 5.5 million; we're 5 million now. We are changing the game on line losses, moving towards parity within current Plan scenario. We identify further room of expansion to our cost recovery plan. Further efficiency will be announced in February through a structural reorganization, group (22:04) better allocation in efficiency and investment will allow the CapEx sales ratio to drop below 20% in the medium-term in line with coverage target fulfillment, and year-end 2018 leverage target of less than 2.7 times for the net debt to EBITDA ratio is confirmed without the need of any disposal. This year, guidance support further value creation for all shareholders, and we are running at full-speed towards it. Thank you very much for your attention. And we are now available for the Q&A session.
Alex Pierre Bolis - Telecom Italia SpA: The Q&A session is now open. I may ask each participants to keep it only to one point, but we can open the discussion as much as possible please? We can start.
Operator: The Q&A session is now open. Thank you. First today's question comes from Mr. Dhananjay Mirchandani of Bernstein. Mr. Mirchandani, please?
Dhananjay Mirchandani - Sanford C. Bernstein Ltd.: Thank you very much for taking this question. I'd like to stretch our horizon and look to your sense, on how far down the path are you in achieving your current ambition to reduce Domestic costs by €800 million on a run rate basis?
Flavio Cattaneo - Telecom Italia SpA: For the operating costs, we have during this day many meeting with the trade union that we have proposed the organization. We have already started the new process. I can remember here that (23:58) that I find a company with 11,000 documents or processes. That means there is an incredible room for reaching a very strong reorganization and we can catch to objective. One side, we have new employees available for – dedicated to the sales and the connection and the activation of the line, it is more important for us because it represent revenues. On the other side, we can also reduce the recourse of (24:39) manpower with an external costs. It is good, represent an internal – another step-up also for the next plan. But we have – in terms of the percentage, we have, more or less 80% of the total (25:00).
Piergiorgio Peluso - Telecom Italia SpA: Yes. Since we started with the efficiency plan, we had objective of €250 million of cash cost reduction in 2016. And now we are more than 80% achievement, but we are fully on track with this plan.
Flavio Cattaneo - Telecom Italia SpA: That means we are very confident also for this quarter that we catch our targets.
Dhananjay Mirchandani - Sanford C. Bernstein Ltd.: Perfect. Thank you very much.
Alex Pierre Bolis - Telecom Italia SpA: Thank you, Dhananjay. Next question, please?
Operator: Next question comes from Mr. David Wright of Merrill Lynch. Mr. Wright, please?
David Wright - Bank of America Merrill Lynch: Yes; thank you very much. Guys, you launched a series of new Mobile promotions in September. I was wondering if you could give us some indication of how that's progressing? You've obviously talked very positively about some of the Fixed and Pay TV promotions. So if you could give us an update on Mobile? And maybe on the same subject, obviously, the TV is selling very, very well. Is there is a subsidy associated with that, that could possibly disrupt the margin also in Q4? Thank you.
Flavio Cattaneo - Telecom Italia SpA: Regarding the Mobile sector, we're running very well, because (26:25-26:50) also for TV, but we can leverage about our dimension (26:57). It is not always negative, the dimension is, because when talking about dimension in terms of negative sense of move or rapidly to move. Today, it's possible to use instead a positive element, and for this, we have reached an important agreement. And you can see, the next month, (27:25) regarding only TV or other things. You can appreciate it why our strategy continue well ahead. As I've said before, for the Turbo Giga, we have reached 2,500 customers per day. And so far, we have sold 21,000 TV that means more than 1,000 per day. And we have Christmas, we have the new offer. We can reach also with Samsung other agreement. We are very confident in the future of this strategy.
Alex Pierre Bolis - Telecom Italia SpA: Thank you, David. Next question, please?
Operator: Next question comes from Ms. Carola Bardelli of Deutsche Bank. Ms. Bardelli, please?
Carola Bardelli - Deutsche Bank SpA (Broker): Yes. Good morning. Congratulations on the results. A question on CapEx. You say you're achieving more, spending less. So I also say that CapEx to sales was far below 20% in the medium-term. I was wondering if we can start to see a slight fall in the CapEx to sales already in 2017, and as part of this question, obviously, if we can see a continuation of the revenue growth in the Domestic side that we saw in this quarter, but a little bit helped (28:59) somehow. And obviously, the related question is also, the debt falling below €25 billion and top line stabilizing, can we see an improvement in the credit rating outlook anywhere short in time? Thank you.
Flavio Cattaneo - Telecom Italia SpA: Regarding the evolution of CapEx on sales, it is consequently the consequences of investment of the NGN, while we reach the target, we cover all the country automatically, (29:43). It is important, the acceleration now, because the accelerations allow the company to reach in advance, more customers in ultrabroadband, and also for what it is other kind of investments. We have covered all the country and it completely is a chain, is linked also to our investment and our strategy, we can announce in the next February. Regarding the number of data and so on, I'll leave the floor to Piergiorgio for any comments in sales.
Piergiorgio Peluso - Telecom Italia SpA: Thank you, Flavio. Carola, as you know, we have not given a guidance for the net debt year-end. So I will not comment on this. I can only tell you that, in the last quarter, we are envisaging a trend more in line with last year. We start to see – just to give you an idea, since the most important topic usually is working capital, if you want to consider that working capital last year and last quarter was positive for €1 billion. But consider that last quarter, working capital was benefiting from also the DTT provision, which were, as you know are very high. Excluding the impact of this provision, in organic terms, we envisage for last quarter a trend more or less in line.
Carola Bardelli - Deutsche Bank SpA (Broker): Very clear. Thank you.
Alex Pierre Bolis - Telecom Italia SpA: Thank you very much, Carola. And we can move on to the next one now.
Operator: Next question comes from Mr. Mandeep Singh of Redburn. Mr. Singh, please?
Mandeep Singh - Redburn (Europe) Ltd.: Hi, thank you for taking the questions. I just wanted to see if you're getting to see any evidence of Enel rollout, customers being connected, even though it's very early days, have you seen any evidence that Enel is making progress in any cities; and where are you seeing that? Any color on that will be helpful? Thank you.
Flavio Cattaneo - Telecom Italia SpA: For what we know, no news or evidence we know. But I repeat it, again, we work very hard in our plan. And our intention is cover as soon as possible all the country. And the rest are not our business. Thank you.
Alex Pierre Bolis - Telecom Italia SpA: Thank you very much, Mandeep. We can now move on to the next one.
Operator: Next question comes from Mr. Mathieu Robilliard of Barclays. Mr. Robilliard, please?
Mathieu Robilliard - Barclays Capital Securities Ltd.: Yes. Good morning. Mr. Cattaneo, I think you were in Brazil, a few weeks ago, and I wanted to know, if you could share with us what were the main takeaways and how that has changed your long-term view (32:53) about how important this asset is for Telecom Italia? Thank you.
Flavio Cattaneo - Telecom Italia SpA: Well, I not only stayed in Brazil many times, but I have via video every week in some case, four times a week, several times a week meeting with them. (33:23) room for increased lot, the postpaid, especially with the local offers, especially in São Paulo and Rio, where we have a very – not a little (33:35) share market. And this is important that we can leverage about our 4G network that is the best in the country at the moment. We can take an advantage in comparison with our customers via competitor. Another important element, again, I see, it is the possibility to increase the efficiency plan over also there, because the possibility even there, the reorganization in terms of structural and structural organization. And this has allow also the double-effect, one side we can increase our revenues and the other – and not only increase the revenues but reduce the volatility linked to the prepaid daily offer. And another side, we can reach also a stability of our revenues. The other element important regarding essentially the fiber, we have also there the possibility to realize the fiber. Part of the realization, it is already done in São Paulo and Rio for 3 million households, but today, we can reach an agreement without CapEx, but with a partnership with this – with our company – local company for improved coverage in these two main cities. If you link the possibility to realize and improve directly the fiber and the share market of postpaid, there is a very possibility to start a very strong offering of triple play or quadruple play that can support our commercial activity there. And I am very, very confident for the futures of this company, the Brazilian subsidiary.
Mathieu Robilliard - Barclays Capital Securities Ltd.: Thanks (35:43).
Alex Pierre Bolis - Telecom Italia SpA: Thank you, Mathieu. Next one?
Operator: Next question comes from Mr. Fabio Pavan of Mediobanca. Mr. Pavan, please?
Fabio Pavan - Mediobanca Banca di Credito Finanziario SpA (Broker): Yes. Hello. Thank you for taking my question. You managed to reduce (36:00) line losses in Q3. Can you provide an assuring comment for both Q4 and mid-term targets, talking about reducing the work parity. My question is, we should expect any further visible reduction in line losses starting from Q4? Thank you very much.
Flavio Cattaneo - Telecom Italia SpA: Line losses will be always better. We work every day to improve acquisition; even though there is a seasonality, as you know, but we can improve not only acquisition, but also the open access increase not only for TI, but for everybody, the activation. In this case, the double effect, more activation and more activation means reducing line losses. As I said before, our objective is to reach as soon as possible the parity.
Alex Pierre Bolis - Telecom Italia SpA: Thank you very much, Fabio. Let's move on to the next one.
Operator: Next question comes from the Mr. Alberto D'Agnano of Goldman Sachs. Mr. D'Agnano, please?
Alberto D'Agnano - Goldman Sachs International: Hello. Good afternoon. So just on cost cutting, can you share some detail on what causes the significantly higher rate of employee reductions that you achieved in the quarter? And on the same point, we've seen that, volume-driven costs were down year-on-year for the first time in the third quarter. Can you share some thoughts on what's starting the pace?
Piergiorgio Peluso - Telecom Italia SpA: Personnel, as you know – sorry, I didn't really get well the question, but the point is on the personnel, you know that in the second quarter, we had €6 million of savings related to the full-year 2015 related bonus. So this was all in the second quarter; in the third quarter, we don't have any other impact on personnel. In terms of extraordinary provision, we have some provision for the retirement plan, but this is a number in the region of €56 million, if I remember well. So these are the numbers on personnel. On volume-driven, sorry, let me get the numbers. On the volume-driven cost in third quarter, we had an impact of €23 million in third quarter this year compared to third quarter last year. And the component related to (38:54) explains, more or less, all these numbers because there's a difference of €48 million, which means €23 million is the net of everything and €48 million is the (39:05).
Alberto D'Agnano - Goldman Sachs International: Okay. Thanks. Thanks very much. And just on the...
Piergiorgio Peluso - Telecom Italia SpA: Thank you.
Alberto D'Agnano - Goldman Sachs International: ...on the employees, I'm just referring to the reduction in the number of head count this quarter at 482 (39:21)?
Piergiorgio Peluso - Telecom Italia SpA: In terms of Domestic, I don't think there is a meaningful reduction. Probably, you're referring to the Brazilian component. As you know, we have some extraordinary (39:42) reduce employees in the call centers. In particular, we had more than 1,800 people reduction in Brazil. So maybe you are referring to that number.
Alberto D'Agnano - Goldman Sachs International: Okay. Thank you very much.
Piergiorgio Peluso - Telecom Italia SpA: Not in the Domestic.
Alex Pierre Bolis - Telecom Italia SpA: Thank you very much, Alberto. I think we have room for one more question.
Operator: Next question comes from Mr. Justin Funnell of Credit Suisse. Mr. Funnell, please?
Justin Funnell - Credit Suisse Securities (Europe) Ltd.: Yeah. Thank you. So this is the last, can I possibly ask one and a half? Just on the Infratel contract, if I've got the name for it right, these government-backed subsidies for rollouts in the low-density areas, could you give us an update on how many – what percentage of these you're winning so far, and what percentage do you expect to win overall? Would you expect to win half of them or more than that or less? And secondly, just a little question on your numbers in Mobile business. There was a really big pickup in your visitor and other revenues, about nearly €96 million of revenue in Q3, pretty much it doubles from Q1. Is this all to do with increased visitor roaming volume, and does this mean good news for next year as we get more usage of roaming or is it something to do with your MVNO contracts with Fastweb? Thank you.
Alex Pierre Bolis - Telecom Italia SpA: Okay, Justin. The first part of the question, Mr. Cattaneo will take, and then the second part, Piergiorgio.
Flavio Cattaneo - Telecom Italia SpA: Well, regarding the Infratel auctions, the processes are going. We cannot comment in detail because there is not news coming from their side (41:33) even though we have participated in all the auctions. And we have done our best to win all the auction in all the areas. Regarding the second question, I'll leave the floor to Piergiorgio for the comment.
Piergiorgio Peluso - Telecom Italia SpA: Yes, Justin. The €96 million we're referring to in the Wholesale Services are almost related to revisiting (42:02) component. Just to highlight that last year was – in the same quarter, was €79 million, so which means that there's a seasonality component in the quarter. So the magnitude of this component is not stable, but it is not so different from last year, from €79 million to €96 million.
Justin Funnell - Credit Suisse Securities (Europe) Ltd.: And just (42:27), should we expect some strong growth in this component next year as well?
Piergiorgio Peluso - Telecom Italia SpA: Yeah, it's growing. I would say, it's growing. Look at the evolution, the seasonality is there because in the second quarter, we have an impact of €72 million; in the third, €96 million with the same evolution also last year. So (42:55), I would say, it's consistent with the kind of the nature of the older revenues (43:04).
Justin Funnell - Credit Suisse Securities (Europe) Ltd.: Okay. Thank you.
Alex Pierre Bolis - Telecom Italia SpA: Thank you very much, Justin. So, we are wrapping up now. Thank you very much for being with us today to all. And of course, Investor Relations will be available as usual for any follow-on question. Thank you and have a nice rest of the day.
Flavio Cattaneo - Telecom Italia SpA: Thank you.
Operator: Ladies and gentlemen, the conference is over. Thank you for calling.